Operator: Good day and welcome to the Entravision Communication’s Fourth Quarter 2015 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Walter Ulloa. Please go ahead.
Walter Ulloa: Thank you, Kate. Good afternoon everyone and welcome to Entravision’s fourth quarter 2015 earnings conference call. And joining me today on the call is Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is a property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today’s press release. The press release is available on the company’s website and it was filed with the SEC on Form 8-K. Now, moving on to a review of the fourth quarter and the full year, during the fourth quarter, our performance was driven by strong revenue growth at our audio and digital businesses, along with core advertising growth from our television group. Overall, the fourth quarter concluded another successful year as we made further progress transforming Entravision into a leading multi-platform media company, targeting US Latinos across acculturation levels and devices. Our digital platforms and revenues continued to expand and our unique collection of assets and capabilities allowed us to deliver a highly targeted and engaged US Latino audiences. We remain well positioned with many of the nation’s most populated Latino markets and are focused on continuing to expand our audience shares. We also continued to return capital to our shareholders through a recently increased quarterly dividend, while at the same time taking steps to strengthen our capital structure through a $20 million fourth quarter prepayment of term loans under our senior secured term loan credit facility. Looking now at specific results, fourth quarter consolidated revenues were $65.4 million or flat compared to the prior year period. Our reported revenues were impacted by $5.8 million in political revenues in the 2014 fourth quarter. Excluding the impact of political revenue, total revenues on a consolidated basis increased 10% in the fourth quarter. Consolidated adjusted EBITDA was $18.8 million in the quarter, down 12% compared to last year, mainly due to the absence of political and World Cup revenues in 2015 versus the prior year and higher variable expenses in our audio and digital divisions. For the full year, consolidated revenue was $254.1 million, an increase of 5% over the prior year. Excluding the impact of $9.3 million in political and $9.1 million in incremental non-returning World Cup revenue in 2014, along with the exclusion of $10.5 million in non-core 2015 telecom-related revenue, total core revenue in 2015 was up 9% over 2014. Consolidated adjusted EBITDA for the full year was $76.3 million, down 4% versus 2014. Now, turning to our TV segment operating highlights, television revenue decreased 8% during the fourth quarter, due to the impact of $4.7 million in political revenues in the fourth quarter of 2014. National revenue was down 15%, while local revenues were down 9% during the quarter. Retransmission revenues increased by 16% during the quarter. Excluding the impact of political revenue and retransmission revenue, core television advertising revenues were up 1%, with core national advertising revenue up 8%, while core local revenues were down 5% during the fourth quarter. For the year, television revenue decreased 4% versus 2014, with local down 9% and national down 19% and retransmission revenue up 6%. Including retransmission, the impact of approximately $7.8 million in political and $7.3 million in incremental World Cup revenue in 2014 as well as approximately $10.5 million in non-core telecom related revenue in 2015, total core TV advertising revenue was down 3% versus the prior year, with TV core local down 4% and TV core national down 3%. A key driver of our core advertising growth in the fourth quarter was automotive, which remains our largest advertising category for television. Automotive was up 20% during the quarter, driven by double digit increases from Nissan, Toyota, Honda, Ford, Chrysler Dodge, Jeep and Volkswagen. Looking beyond automotive, television ad sales increased across several other key categories, including services, retail, media, groceries, product brand and auto repair services. We continued to expand our roster of advertising partners in television. During the fourth quarter, we added 33 new television advertisers who have spent $10,000 or more, which totaled approximately $830,000 in incremental advertising revenue for our television business. Notable top new advertisers included Fiat Chrysler, AutoNation of Las Vegas, Allegiant, Health Plans, Silver State Health Insurance Exchange and Coventry Health Care. Turning to our ratings performance, our Univision television affiliates built up their market leadership in the November 2015 sweeps. For adults 18 to 49 early local news, our Univision television stations finished ahead of their Telemundo competitor in all but one market. In late local news, we finished ahead of Telemundo competitors among adults 18 to 49 in 12 markets. Additionally, our early local newscasts are ranked number one or two against English or Spanish competitors in 12 markets. During a full week, our Univision and UniMás television stations together have a cumulative audience of 3.3 million Hispanics in our markets combined compared to Telemundo’s 1.9 million Latinos. We have 61% more viewers than our Telemundo competitors in our television footprint. Also, in weekday primetime when comparing all stations in total, adults 18 to 49, we outperformed at least one of our big four English language competitors in 11 of our markets. Looking now at our audio division, we continue to deliver strong performance due to the solid positioning of our radio station group, our Entravision Solutions Network and the strength of our industry-leading content offerings. Revenue increased 6% in the fourth quarter [2014], with local up 3% and national up 13%. On a core basis, once you exclude a little over $1 million in political advertising in the 2014 fourth quarter, our audio division increased revenue by 12%, with core local up 6% and our core national up 26%. For the overall year, the audio division revenues increased 9% compared to last year, with local up 6% and national up 14%. On a core basis, excluding political and incremental World Cup advertising, our audio division increased revenue by 14% for the year, with core local up 10% and core national up 20%. This is the fifth consecutive quarter where Entravision has outperformed the broader audio industry, based on Miller Kaplan estimates for the 12 markets which we subscribe. The industry saw a decrease of 1% during the fourth quarter and flat for the full year versus our 9% increase in the full year and 6% increase in the fourth quarter. Our Entravision Solutions Audio Network revenues increased an incredible 44% during the fourth quarter compared to the same period last year. This strong growth was driven by increased ad spend by All States Sprint and Walgreens as well as addition of several new advertisers, including Pfizer, Pepsi, Cicis Pizza and Anheuser-Busch. For the year, our Entravision Solutions Audio Network revenues increased 41% over 2014. At this point, I want to recognize and acknowledge Jose Villafane, our President of Entravision National Sales, for the outstanding work he and his Entravision Solutions team performed in 2015. We’re attracting more advertisers because we have the leading platform with connect brands with highly engaged US Latino audience nationwide. This platform is supported by an unmatched industry content offering that includes Oswaldo Diaz also known Erazno y La Chokolata, Alex El Genio Lucas and Eduardo Piolin Sotelo, the top three Spanish language talents in the entire country, and all of them are day-in day-out strengthening their audiences on Entravision media properties, mobile streaming across our station websites and on social media. Importantly, they will continue to drive audiences for Entravision for the next several years as all three of these talented personalities have multi-year contracts. The strength of our content offering continues to attract advertisers. We had a total of 30 Entravision Solution Network advertisers during the fourth quarter, an increase of 30% from the same period in prior year. Our audio division recorded revenue growth in eight of our top 10 categories in the fourth quarter, including automotive which is up a solid 36%, driven by increased ad spend by Kia, Toyota, Nissan, Honda and Ford. Other key categories registering strong increases in the quarter for our audio business included telecom, travel and leisure, restaurants, auto repair, product brands, media and groceries. We continue to expand our base of advertising partners. During the fourth quarter, we had 30 new audio advertisers who spent more than $10,000, generating approximately $761,000 in incremental advertising revenue. These new advertisers include Pfizer, Delta Airlines and [Hoover]. Looking at the Los Angeles station cluster, Entravision’s largest audio market, total revenues for our Los Angeles audio platform were up 9% for the quarter over the prior year, with local up 23%, while national was up 9%. This 19% growth compares favorably to the most recent Miller Kaplan survey, where the LA market finished at a plus 3% for the fourth quarter. For the year, our Los Angeles audio platform grew revenue a healthy 24% over the prior year, with local revenue up 19%, while national revenue was up 39%. Again, our Los Angeles performance candidly beat the Los Angeles market, which according to Miller Kaplan finished the year flat. Los Angeles is the leading Latino market in the United States according to Nielsen’s Audio Fall 2015 release. Both our morning drive show El Genio and our afternoon show Erazno y La Chokolata are among the top 10 in their time periods in Los Angeles regardless of language among adults 18 to 49 and adults 25 to 54, with the Erazno show being the highest rated Spanish language audio program in the time period among both demos. Looking at our audio division ratings performance among all stations regardless of language in the adult 18 to 49 demographic, Erazno y La Chokolata show is in the top 10 in 11 of our markets, El Genio Lucas is the top 10 in six of our markets and Piolin is in the top 10 in eight of our markets regardless of language. 13 of our audio stations in 10 markets are among the top 10 stations regardless of language among adults 18 to 49. Now let’s look at our digital business. Digital revenues were $6.3 million in the fourth quarter, an impressive growth of 67% over the fourth quarter of 2014. Our digital revenue now accounts for approximately 10% of our total revenue as of the fourth quarter. Our digital business continues to grow at a very strong rate. The key drivers are our unique digital platforms, Pulpo and Luminar, our industry-leading content and our unmatched reach. Today, our digital platform delivers the largest digital US Latino reach to our advertising partners. Using Pulpo, we target and reach Latinos nationwide across all devices and platforms. This is strengthened by Luminar, which adds a unique big data management platform complete with programmatic targeting and yield optimization tools. Our digital reach has expanded by our strategic focus on mobile, our robust entertainment and digital news operation and expanding social media engagement metrics. Today, we can efficiently and effectively connect advertisers with US Latino consumers online, on mobile devices and via social media with digital video, display, audio and native ad units. Whether advertisers try to reach Spanish dominant bilingual or English dominant Latinos, Entravision today delivers a total US Latino market across acculturation levels. Pulpo continues to be the number one ranked digital platform to reach US Latinos in the United States according to comScore. Pulpo’s reach is supported by our owned and operated websites, which deliver an average of 2.7 million monthly unique visitors. This strong digital audience delivery is being driven by our content-focused strategy. During the fourth quarter, we published over 12,600 local news stories and videos across our digital properties and streamlined over 4.8 million hours of audio entertainment to over 1.5 million unique listeners. It is worth mentioning that about 80% of our audience is consuming their content through mobile devices. We continue to make progress developing apps and mobile-first websites associated with our leading content personalities, including Erazno, Alex El Genio Lucas, [LNS show] and El show de Piolin. In January of this year, we launched a mobile app for Erazno y La Chokolata. Within the first week, the app achieved 50,000 downloads and Erazno was the number two trending topic on the Apple Store. One full month after going live, the Erazno app continues to do exceedingly well and surpassing all major KPIs and benchmarks, reaching 87,000 monthly active users. As part of the launch strategy, Erazno promoted a contest where listeners could download the app and register for a chance to win a trip for two to this year’s la noche de locura in Las Vegas. In under 30 days, the campaign generated 540,000 impressions, achieved an open rate of 4.6% and generated 7,500 contestant entries. At this rate, the app is on target to break the 100,000 monthly active users within the next 10 days. We will launch El Genio Lucas’ new mobile-first website in the second quarter of 2016. Our social media presence continues to expand as well. We finished 2015 with over 6.3 million social media followers across key networks, including Facebook, Twitter and Instagram. This was up 150% compared to the fourth quarter of 2014. We expanded our mobile reach and offerings given that Latinos continue to over-index in mobile ownership and mobile media consumption. According to comScore, we currently reached over 15 million unique Spanish dominant Latinos for mobile devices and 25.6 million unique bicultural Latinos through mobile devices through our Pulpo digital network. Mobile remains our fastest-growing revenue stream and today contributes 25% of our total digital revenues. Our mobile offerings also include our text and MMS operations. In the fourth quarter, we sent over 1.7 million text messages and our usage level continue to rise. This has led to a steady increase in the number of MMS text sent, which represented roughly 48% of our total text messages in the fourth quarter. Overall, we continued to make steady progress advancing our digital platform, while expanding our capabilities and revenue streams. Today, we have a truly unique collection of digital assets that delivers highly engaged and highly targeted US Latino audiences to our advertising partners. We remain focused on transform Entravision by further growing our digital platform. Turning now to our pacings for the first quarter, as a reminder, during the first quarter of last year, our television business recorded $5 million of non-advertising revenue related to a channel modification made by us to accommodate a telecom operator. Excluding the impact of last year’s non-advertising revenue, our television revenue is currently pacing in the positive low to mid single digits versus prior year. Audio is also pacing in the positive low to mid single digits for the first quarter. And digital is currently pacing in the positive double digits compared to bookings at this point in the prior year. In summary, despite the challenges in 2015 with the absence of over $21 million of political and World Cup revenue from 2014, we’re pleased with our performance for the year as we continued to execute on multi-platform growth strategy. Our audio and audio network business are consistently outperforming the broader industry, including our Spanish language peers and our digital platform connects robust targeted and engaged US Latino audiences with brands online, on mobile and via social media. We remain well focused in the nation’s most densely populated US Latino markets and are focused on continuing to grow our audience shares and deliver increased returns to shareholders, while at the same time reducing leverage. Finally, we’re looking forward to a robust political year in 2016. We operate large clusters of media assets targeting Latino voters in key states in this year’s Presidential election, including Florida, Colorado, Nevada, New Mexico and Virginia. In each political cycle, winning the Latino vote becomes more critical for both parties in their quest to win the Presidency. This Presidential year will be even more important than 2012 for the Latino voter electric. In 2012, we doubled our political revenue versus 2008. Although we do not expect to double our political revenue in 2016, we are forecasting impressive political revenue increases versus 2012. Now, I’ll turn the call over to Chris Young, our Chief Financial Officer, for a review of our financial information.
Christopher Young: Thank you, Walter, and good afternoon everyone. As Walter has discussed, net revenue for the quarter was slightly up at $65.4 million compared to $65.3 million in the same quarter of last year. Operating expenses increased 4% to $39.6 million and consolidated adjusted EBITDA was $18.8 million. Net revenue for the year was $254.1 million, up 5%. Operating expenses increased 7% to $153.1 million and consolidated adjusted EBITDA was $76.3 million for the year. During the fourth quarter of 2015, the company paid cash dividend of $0.03125 per share to shareholders of the company’s Class A, Class B and Class U common stock. The total amount of cash disbursed for the dividend was $2.8 million. For the year, the total amount of cash disbursed for dividends declared and paid was $9.4 million. The company also announced today that the Board of Directors has declared a quarterly cash dividend of $0.03125 per share to shareholders of the company’s common stock payable on March 31, 2016. The total amount of cash to be disbursed for this quarterly dividend will be approximately $2.8 million. As previously announced, we currently anticipate making cash dividends on a quarterly basis in future periods. In addition, during the fourth quarter of 2015, the company voluntarily prepaid $20 million of term loans under the company’s senior secured term loan credit facility. During the year, the company made principal term loan payments of $23.8 million. The ending balance of the term loans as of 12/31/2015 is $316.6 million. For the quarter, TV net revenue was down 8% to $39.8 million compared to $43.3 million in the same quarter of last year. The decrease in our TV segment revenue was primarily attributable to the absence of $4.7 million in political advertising revenue in 2015 compared to 2014 and an 8% decrease in local revenue, partially offset by a 5% increase in national advertising revenue and a 16% increase in retransmission consent revenue. Excluding political, our total television revenues were up 3% compared to the fourth quarter of last year. Radio net revenue for the quarter was up 6% to $19.4 million compared to $18.2 million in the same quarter of last year. The increase in our radio segment was primarily attributable to a 3% increase in local and a 13% increase in national revenue, partially offset by the absence of $1 million in political in 2015. Excluding political, audio revenues were up 12% compared to the fourth quarter of last year. Digital net revenue for the quarter was up 67% to $6.3 million compared to $3.8 million in the same quarter of last year. The increase in our digital segment was primarily attributable to increases in local and national advertising revenue. Retransmission consent revenue for the quarter was $7.3 million compared to $6.2 million in the same quarter of last year. For the year, TV net revenue was down 4% to $159.1 million compared to $165.5 million in the prior year. The decrease in our TV segment revenue was primarily due to the absence of $9.8 million in World Cup and $7.8 million in political advertising revenue in 2015, partially offset by an increase of approximately $10.5 million of non-advertising revenue and an increase in retransmission consent revenue. Excluding the incremental World Cup, political and non-advertising revenue, our television revenues were down 1.6% compared to the prior year. Radio net revenue for the year was up 9% to $76.2 million compared to $69.9 million in the prior year. The increase in our audio segment was primarily attributable to a 6% increase in local and a 16% increase in national revenue, partially offset by the absence of $2.3 million in World Cup and $1.5 million in political revenue in 2015. Excluding the incremental World Cup and political, our core audio revenues were up 14% compared to the prior year. Digital net revenue for the year was $18.9 million. Retransmission consent revenue for the year was $27.9 million compared to $26.4 million in the prior year. Operating expenses for the quarter were $39.6 million, up 4%. TV operating expenses excluding non-cash compensation expense were down 1% to $20.4 million. Audio operating expenses excluding non-cash compensation expense were up 6% to $15.7 million. Digital operating expenses excluding non-cash compensation expense were up 33% to $2.5 million. Operating expenses for the year were $153.1 million, up 7%. The increase was primarily attributable to the increase in operating expenses of Pulpo, which we acquired in June 2014, which did not contribute to results in the full comparable period in 2014 and increases in rent expense, salary expense and promotional expenses, including rent expenses associated with our radio network upfront. TV operating expenses excluding non-cash compensation expense were flat at $80.1 million. Audio operating expenses excluding non-cash compensation expense were up 6% to $61.5 million. Digital operating expenses excluding non-cash compensation expense were $9.6 million. Corporate expenses for the quarter were up 10% to $6.9 million compared to $6.3 million in the same quarter of last year. Excluding non-cash compensation expense of $1.6 million, corporate expenses for the quarter were $5.3 million versus $4.9 million in the same quarter of last year, an increase of 8%. Excluding non-cash compensation expense, the increase in corporate expense was primarily due to an increase in salary expense, legal and expenses related to research regarding the upcoming FCC auction. Corporate expenses for the year were up 6% to $22.5 million compared to $21.3 million in the prior year. Excluding non-cash compensation expense of $3.3 million, corporate expenses for the year were $19.2 million versus $18.2 million in the prior year, an increase of 5%. Excluding non-cash compensation expense, the increase in corporate expenses was primarily attributable to an increase in salary expense and legal expense, partially offset by transaction costs associated with the acquisition of Pulpo in June of 2014 that did not recur in 2015. Income tax expense was $2.9 million for the quarter, while cash taxes paid was less than $0.1 million. For the year, income tax expense was $16.4 million, while taxes paid in cash was $0.8 million. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 40% of pre-tax income, although most of this expense will continue to be non-cash given our NOL offsets. Earnings per share for the quarter were $0.07 per share compared to $0.07 per share in the fourth quarter of last year. Earnings per share for the year were $0.29 compared to $0.31 per share in the prior year. Free cash flow, as defined in our earnings release, decreased 14% to $13.5 million or $0.15 a share for the quarter compared to $15.7 million or $0.18 a share for the same quarter of last year. Cash interest expense for the quarter was $3.1 million compared to $3.3 million in the same quarter of last year, due to less outstanding debt. Cash capital expenditures for the quarter were $2.2 million. Free cash flow for the year decreased 13% to $49.7 million or $0.56 a share for the year compared to $56.8 million or $0.64 per share for the prior year. Cash interest expense for the year was $12.2 million compared to $13 million in the prior year, due to less outstanding debt. Cash capital expenditures for the year were $13.7 million. Capital expenditures for 2016 are expected to be approximately $10.5 million. Turning to our balance sheet, as of December 31, 2015, our total debt was $316.6 million and our trailing 12 month consolidated adjusted EBITDA was $76.3 million. Cash on the books was $47.9 million as of 12/31/2015. Net of $20 million of unrestricted cash in the books, our total leverage as defined in our 2013 credit agreement was 3.89 times as of 12/31/2015. This concludes our formal remarks. Walter and I will now be happy to take your questions. Kate, I’ll turn it over to you.
Operator: [Operator Instructions] The first question comes from Michael Kupinski of Noble Financial.
Michael Kupinski: First, couple of questions here. What is the base number for Q1 2015 that you are using related to your pacing data that you’ve given? Is it 34.5 million or what number is that?
Walter Ulloa: You’re looking for the base number of what division?
Michael Kupinski: Basing your first quarter pacing data, you’re talking low to mid single digit?
Walter Ulloa: Low to mid single digit is for TV and positive low to mid single digits for radio as well.
Michael Kupinski: So I guess what I’m also asking [Technical Difficulty] are there any updates there?
Walter Ulloa: We were talking over each other. Can you repeat the question, Michael?
Michael Kupinski: Yes. Where does the company stand with the current Univision proxy agreement, any updates?
Walter Ulloa: That agreement is extended until March 31 and we continue negotiating with Univision.
Michael Kupinski: Is there any reason why it’s being pushed forward at this point?
Walter Ulloa: It’s a complicated agreement, I’d just say that. There are a number of issues we have to address. And so it’s just taking time. They’re busy; we’re busy. Everything takes time, but that’s really all I have to say.
Michael Kupinski: In terms of – Univision obviously has some network ratings issues, I was just wondering to what – it seems like you guys are – the strength of your television ratings seem to be offsetting that. Is there any way that you can quantify what impact Univision network ratings is having on your local stations?
Walter Ulloa: No, I don’t think we can quantify what impact the network ratings are having. I mean, we continue to use all of our assets to bolster our Univision programming. We know that Univision is working diligently to try to improve their performance of the network programming. So as long as we continue to work hard and bolster our TV programming with our radio assets and our digital assets, we’ll continue to perform well. And at some point here soon, I think Univision’s programming will rebound like it always has and will be back growing our ratings steadily.
Michael Kupinski: And then television revenues were better than expected in the fourth quarter, were there anything in the television expenses other than extra commissions and things like that related to the higher revenues? Or did the company step up news or other programming to strengthen the station ratings and so forth? Can you just give us a little thought about and color on the expense line and how that might look for 2016?
Christopher Young: For expenses, Michael, on a cash basis, in Q4 operating expenses were actually down 1%. So there wasn’t any noticeable increase in investment, I guess, is what you’re alluding to for the TV segment. And as far as 2016 is concerned, we don’t give guidance for expenses. Generally speaking, if it’s a very successful political year as well as core year, there will be higher variable expenses impacting our expense line item. But that’s really the only point I’d mention there.
Michael Kupinski: I’m just asking outside of the variable expenses, are there any initiatives that the company has? I remember that the company had initiatives for Obama Care and stuff like that. I was just wondering are there any initiatives this year that would cause the expense line to increase more than necessary variable costs, I guess, that you would have with higher revenues.
Christopher Young: I think the short answer there is we continue to invest in our local news. And to that extent, controlling that portion of the television business which we have control over and growing it, there may be some modest expense increases with respect to news. And also remember, it’s a political year. So we’ve got two political contentions that we will have coverage at that will have some incremental expenses tied to those as well. Michael, just a point on that pace front, the basis, remember now, in the first quarter of last year, you had the telecom contract to the tune of about $5.0 million that needs to be factored out of that local positive low to mid single digit piece that we discussed.
Michael Kupinski: I was just wondering, Chris, did that – because I know that you guys, when you give pacing data, it’s a little bit different than others and I was just wondering what is included in your base number related to television, you’re excluding retransmission revenue or are you including it, and is it excluding political?
Christopher Young: That’s a great point, I’m glad to clarify it. So that is pure advertising revenue. We do not factor in retrans into that number, it’s just advertising. There is a little bit of political in that number, but political has not yet been big enough in the quarter for it to have an impact.
Operator: The next question is from Tracy Young of Evercore.
Tracy Young: Could you just, Chris, you spoke a little bit fast when you went through the numbers. Was the same-station TV core down 1.6%?
Christopher Young: Tracy, same-station core TV for the quarter was up 1%, excluding retrans. Including retrans, it’s up 3%.
Tracy Young: And how much is political in Q4, was there any?
Christopher Young: There was some political in Q4, it was for television, all-in it was about $120,000, not a lot to move the needle.
Tracy Young: Just so we have it for next year. And then in terms of CapEx, what was it for 2015 and did you give a guide for 2016?
Christopher Young: The guide for 2016 is $10.5 million. And the final CapEx number for 2015 was $13.7 million.
Tracy Young: And then just on radio, sometimes you give some comparison versus the market in LA. Can you give any color on that or versus Miller Kaplan numbers?
Christopher Young: We have that in our – Walter mentioned in the beginning in our script.
Walter Ulloa: In Los Angeles, we pointed out that we grew our revenue 19% in the quarter as the LA market was plus 3% according to Miller Kaplan. And then for the year, our Los Angeles audio assets grew revenue at a healthy 24% over 2014, whereas the LA market was flat according to Miller Kaplan.
Operator: The next question is from Amy Yong of Macquarie.
Alexandra Saks: This is Alexandra for Amy. Do you have any interest in divesting spectrum? And if so, what would be the timing of it and how would the proceeds be used?
Walter Ulloa: We’re currently not going to comment on any spectrum matters, we’re in a quiet period as a result of FCC’s dictate. So we can’t really comment on anything around the upcoming spectrum auctions.
Operator: There are no additional questions at this time. This concludes our question-and-answer session. I’d like to turn the conference back over to management for closing remarks.
Walter Ulloa: Thank you, Kate, and thank you everyone for participating on our fourth quarter 2015 earnings conference call. We look forward to talking to all of you in May when we will announce our first quarter 2016 earnings results. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.